Operator: Good morning, ladies and gentlemen, and welcome to the Sequans Communications Fourth Quarter and Year-End 2024 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Tuesday, February 11, 2025. I would now like to turn the conference over to Kim Rogers, Investor Relations at Sequans. Please go ahead.
Kim Rogers : Thank you, operator, and thank you to everyone participating in today's call. Joining me on the call today from Sequans Communications is Georges Karam, Chairman and CEO and Deborah Choate, CFO. Before turning the call over to Georges, I would like to remind our participants of the following important information on behalf of Sequans. First, Sequans issued an earnings press release this morning. You can find a copy of the release on company's website at www.sequans.com under the Newsroom section. Second, this conference call contains projections and other forward-looking statements regarding future events or our future financial performance and potential financing sources. All statements other than present and historical facts and conditions contained in this release, including any statements regarding our business strategy, cost optimization plans, strategic options, the ability to enter into new strategic agreements, expectations for Massive IoT sales, our ability to convert our pipeline to revenue, and our objectives for future operations, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities and Exchange Act of 1934, as amended. These statements are only predictions and reflect our current beliefs and expectations with respect to future events and are based on assumptions and subject to risks and uncertainties and subject to change at any time. We operate in a very competitive and rapidly changing environment. New risks emerge from time to time. Given these risks and uncertainties, you should not rely on or place undue reliance on these forward-looking statements. Actual events or results may differ materially from those contained in the projections or forward-looking statements. More information on factors that could affect our business and financial results are included in our public filings made with the Securities and Exchange Commission. And now I'd like to hand the call over to Georges Karam. Please go ahead, Georges.
Georges Karam : Thank you, Kim. Good morning, everyone. I would like to thank you all for joining us today. I'm excited to review our remarkable transformation in 2024, a year that demonstrated our resilience, showcased the strength of our cellular IoT intellectual property and product portfolio, and positioned us for sustained growth. A key milestone was the successful completion of the $200 million Qualcomm deal. This transaction ensures the future of our 4G IoT business and advancement of our 5G RedCap and eRedCap solutions, while also significantly improving our financial position. Energized by the momentous event, we doubled product revenue in the fourth quarter compared to the previous quarter. We delivered $11 million in total revenue, representing a 9% sequential increase in line with our guidance. Notably, product revenue in the fourth quarter increased to $4.7 million from $2.4 million in the prior quarter and $4 million in the fourth quarter of 2023. Also, we are highly encouraged by the positive response from our customers and partners following the Qualcomm deal. The strengthening of our financial position has been a catalyst in securing our design win pipeline, new customer acquisition, and new project wins. The deal also validates our technology leadership and reinforces the superiority of our products, which are fully optimized for IoT application, where power efficiency, radio performance and costs are critical factors. I'm gratified to conclude 2024 with the strong fundamentals that position Sequans on a robust trajectory toward growth and sustainable long-term success. Switching gears to discuss the factors we believe will drive product revenue growth over the next 2 years, let me walk you through the 2 main drivers. The first is our design win pipeline and how the corresponding project wins will move into mass production in 2025 and 2026, converting into Monarch 2 and Calliope 2 product revenues. The second is the development of our design-in pipeline with new opportunities and new customers that we are working on to secure and add to our design win pipeline. Despite a challenging year, we have maintained most of our existing design win projects and customers. Counting 3 years of future revenue for each once they begin shipment, our design win pipeline represents around $250 million. While some of these projects are currently in shipment mode, the majority are still in the design phase and are expected to launch within the next 2 years. Our design win spans various IoT segments, including smart metering, telematics, security, e-health, and industrial applications. Smart metering, a very successful market segment for us accounts for over 50% of our current pipeline. The time to revenue for most of these projects was delayed by the inventory overhang the industry has faced in the last 2 years, where customers have favored the shipment of legacy products over the launch of new ones. Additionally, the transformation of the design win pipeline to revenue was impacted by our large percentage in metering where product qualification requirements are complex, prolonging the time to production. We are confident that our customers remain committed to Sequans and that the launch of more projects in the second half of '25 and '26 will support our revenue growth over the next 2 years. Cat 1bis Calliope 2 is scheduled to start shipping this year and will be a key driver of growth later this calendar year, contributing to the increasing revenue from LTE-M Monarch 2, our primary product currently shipping. Note that the long-term nature of these IoT projects with life cycles spanning up to 8 years, ensures sustained revenue once they enter production and will continue driving our revenue growth well beyond 2026. While working on turning design wins into revenue, our next focus is on new business opportunities and adding new customers to grow our design win pipeline. This will add another driver of revenue growth in 2026 and beyond. We have strengthened our sales team and focused our sales strategy on increasing market share in high velocity IoT market segments, where a new project wins can generate revenue within 2 years, typically faster than metering wins. Following our highly productive meetings at CES 2025, we have seen significant acceleration in new customer engagements. This marks a major shift from last year when our financial troubles limited our ability to win new customers and projects. I'm pleased to say that our design-in pipeline, which includes advanced customer engagements we are working to secure and move to design-wins, now exceeds $200 million in a projected 3-year revenue starting from the launch date of each project. Notably, 1/3 of this pipeline is pending award decisions expected in the first quarter. With this strong start to the year, we have increased conviction that our $250 million design win pipeline will also grow this year. Turning to Sequans competitive advantages in the IoT market. Our position as a European semiconductor company is a key differentiator. With increasing restriction on Chinese manufacturers, the number of chips and module competitors outside China is shrinking. We expect this to trend -- we expect this trend to intensify, positioning Sequans as a key beneficiary in the evolving market landscape. Additionally, OEM module makers are facing increasing pressure to consolidate or exit the market, such as the recent announcements from Ublox. validating our business model with sales of both chip and modules. This enables Sequans to offer differentiated customer support in addition to an innovative product portfolio, now well recognized as best-in-class. Sequans has a comprehensive product portfolio that spans the full range of IoT applications. From high-speed Cat 4 for real-time video to mid-range Cat 1bis Calliope 2 for security and telematics, and down to ultra-efficient LTE-M Monarch 2 for tracking, metering and other industrial applications. This robust portfolio ensures we can fully support customer demand on existing 4G networks. Looking ahead, as the industry transitions to 5G, our customers will seek RedCap and eRedCap, two emerging 5G IoT modem categories set to replace 4G Cat 4, Cat 1bis and LTE-M, positioning Sequans at the forefront of this evolution. Our 5G IP and expertise, combined with the addition of an expanded wireless IP portfolio and top engineering talent through our recent acquisition of ACP in Zurich, positions us strongly to execute on our RedCap and eRedCap product road map for 2026. This strategic advantage enables us to maintain our technology leadership and competitive edge as we introduce new generation of chips with enhancement -- with enhanced 5G IoT support, extended feature sets, and significant advancements in power efficiency, radio performance, and cost optimization. In addition to advancing our cellular IoT business, we are actively pursuing a strategic expansion into new vertical markets. Our extensive IP and product portfolio enables us to offer advanced radio solutions for satellite communication, public safety and defense. We have already established business leads in these sectors and are focused on further developing these opportunities to drive broader product adoption and value-added service sales. Similarly, we expect to expand our addressable market through licensing agreements following the successful model we implemented in China. We are confident in our ability to deliver tangible results from these new initiatives over the next 12 to 18 months. Our financial strategy remains focused on achieving non-IFRS operating income breakeven by 2026, driven largely by the acceleration of Monarch 2 and Calliope 2 shipments, which will fuel product revenue growth in 2025. While not all design win projects are currently in production, our $250 million design win pipeline represents more than 4 years of product revenue, equating to an annual average of approximately $60 million from 2025 to 2028. As these projects transition into production in '25 and '26, we expect annual revenue contributions will progressively rise, surpassing this average in the latter half of the period. Additionally, in 2026, we expect to see revenue contributions from new design wins secured this year, sourced from our current $200 million pipeline of design-in projects. Last, in addition to product revenue, we anticipate revenue generation from licensing and services through partnerships and strategic initiatives we are conducting. These factors combined with financial discipline, will ensure we remain on track to achieve our financial goal in 2026. In summary, Sequans is built on a solid foundation for sustained growth, with a clear path to future profitability driven by a robust design win pipeline and new customer engagements. Our advanced product road map reinforces our technology leaderships, and our strategic initiatives to develop vertical markets and expand our licensing business position us well for the future. As we continue to innovate and expand, we remain committed to delivering long-term value to our stakeholders while shaping the future of IoT. I'll turn the call over to Deborah to review the fourth quarter and annual 2024 preliminary financial results in detail.
Deborah Choate: Thank you, Georges, and good morning, everyone. Before we get started, please note that the financial results released today are preliminary. Our final results are subject to finalization of audit procedures and preparation of full disclosures to be filed in our annual report on Form 20-F in April. Revenues for the full year 2024 increased 9% from $33.6 million in 2023 to $36.8 million. Gross margin for 2024 remained strong at 75.5% versus 71.8% in 2023 primarily due to a product mix weighted more toward chipset sales than modules compared to 2023. Product gross margin for the year was 35.1% compared to 6.2% in 2023. Over time, we expect product gross margins to be in the mid-40s as we transition from more module sales to chipset sales. In addition to lowering our operating expenses, we benefited from the $152.9 million gain from the Qualcomm transaction in 2024, which was the main driver behind our achieving an IFRS operating profit of $69.5 million, up from an operating loss of $29.8 million for the full year of 2023. On a non-IFRS basis, our net profit was $77.5 million in 2024, or $2.73 per diluted ADS compared with the non-IFRS net loss of $30.6 million, or $1.36 loss per diluted ADS in 2023. Turning to our fourth quarter results. Revenues for the fourth quarter of 2024 increased 130% to $11 million, up from $4.8 million in the fourth quarter of 2023, and increased sequentially by 9%. Product revenue reached $4.7 million in the quarter and accounted for 43% of total revenues compared to 83% in the fourth quarter of 2023 and 23% in the prior quarter. Product revenue doubled sequentially and increased 19% from the year ago period. Licensing and other revenue was $6.2 million, an increase compared to $802,000 in the prior year quarter and a 19% decline compared to $7.7 million in the third quarter of 2024. This quarter, we recognized $5.5 million versus $6.7 million in revenue in Q3 from partial deliveries of IP under a 5G broadband license to Qualcomm as part of the overall transaction. We expect the nearly $8 million remaining in licensing revenue under this agreement to be recognized over the course of 2025. Gross margin in the fourth quarter of 2024 was 68.1% compared to 82.5% in Q3 2024, which reflected the higher product revenue contribution in the quarter. Product gross margin was 37.6% in Q4 versus 36.9% in Q3, reflecting a higher portion of chip sales offset partially by the inventory provisions for 2 products approaching end of life. IFRS operating loss was $5.3 million in the quarter compared to operating profit of $87.1 million in Q3 2024 and compared to losses of $12.6 million in the fourth quarter of 2023. As a reminder, the third quarter 2024 operating profit was due to the net gain on the sale of the 4G assets sold to Qualcomm of $152.9 million. Our estimation of the value of the assets sold is $175.4 million. This gross gain was reduced by the net book value of $18.4 million for the R&D capitalized for the Monarch 2 and Calliope 2 platforms and by deal-related fees and expenses. We recorded net interest income in Q4 compared to interest expense in prior quarters due to our investment of excess cash from the Qualcomm deal after repayment of all matured debt and accrued interest in October. On a non-IFRS basis, our net loss for Q4 2024 was $2.1 million, or $0.08 loss per diluted ADS compared to an $80.5 million profit or 2.91 -- I'm sorry, $2.91 profit per diluted ADS in the prior quarter and a non-IFRS net loss of $13.7 million or $0.56 loss per diluted ADS in the fourth quarter of 2023. Loss per ADS in prior periods has been restated to reflect the ratio change made on October 9, 2024. Cash and short-term deposits totaled $62.1 million at the end of Q4 compared to $173.6 million at the end of Q3. Subsequent to the end of the third quarter, we repaid approximately $85 million in matured debt and accrued interest. We also paid down overdue supplier accounts, fees and costs related to the Qualcomm transaction and an initial payment related to the acquisition of ACP. Turning to the outlook for the first quarter of 2025, we expect total revenue to be in the range of $7 million to $8 million, with product revenue contributing about 50%, reflecting Q1 seasonality. Note that as of the end of December 2024, there is close to $8 million of licensing revenue related to the Qualcomm deal that will be recognized as we make final deliveries of IP technology blocks. The portion that will be recognized in Q1 2025 is expected to be lower than the $5.5 million recognized in Q4, and recognition of the final portion will depend on the timing of the delivery of the last IP components. We are implementing actions to reduce our net cash operating expenses to be below $10 million per quarter on average in 2025. Our net cash operating expenses exclude noncash expenses such as depreciation, amortization and equity compensation expense, and include cash received from R&D tax credits and government-funded R&D programs. The cost reduction actions are expected to be implemented over the course of the first part of the year. In addition, we are expecting to receive funding from government R&D financing of around $7 million in 2025. Turning now to some housekeeping items. At the conclusion of this call, we will post a written version of our formal remarks in the Investor Relations section of our website on the Webcast and Presentations page, the same location where you will find the audio replay. Sequans will attend the 37th Annual ROTH Conference, which is to be held in Laguna Beach, California. Georges and I will host one-on-ones and a fireside chat with our ROTH analyst, Scott Searle on Tuesday, March 18. Please contact your ROTH representative to register or for more information. And lastly, we expect to file our annual report on Form 20-F by the end of April, which is the deadline for foreign filers. We will take advantage of the audit procedures around this to also file a Form S-8 to register equity plans and to file a shelf registration statement on Form F-3. In the past, we always kept a shelf active, whether we needed it or not, but the last one expired in November of 2023, and we have not had the opportunity to renew it before now. And now I'll turn the call back to Georges.
Georges Karam: Thank you, Deborah. Operator, we are ready to open the call for Q&A, please.
Operator: [Operator Instructions] Your first question comes from the line of Scott Searle with ROTH Capital Partners.
Scott Searle: Nice to see the design activity starting to reaccelerate. Georges, maybe to just dive in on the $250 million preexisting wins. I thought I heard you say $50 million to $60 million of that should start to be the annualized number as we get out to '26 and beyond. Just wanted to clarify that. And then in terms of the ramping pipeline leading up to CAS and post-CES of $200 million plus, can you give us an idea in terms of some of the applications that you're starting to see that inbound interest on. It sounds like they are faster turn design cycles. So maybe if you could talk a little bit about some of the applications, some of the design cycles as well as the technology implementations right now? Is it mostly Cat 1bis? Are you starting to have those RedCap discussions?
Georges Karam: Scott, thanks for the questions. Starting on the $250 million, your understanding is right. I mean we're talking about -- because the pipeline of $250 million, as we said, it represent 3 years revenue for each project from the launch date. As all of them are Latin production, so we cannot talk about $250 million to do over 3 years. Reality is more than 4 years if you look to the details of the project. And I mentioned that more than 50% of this is coming from metering and those are projects that they tend to have quite long time to revenue, I'll say, ramp. So as such, if you divide $250 million over 4 years, 4 years plus, we're talking about an average of $60 million, which obviously, we see it in the second half of this period of 4 years, which means our planning -- and again, I'm giving those guidance to help investors understanding how the company -- why we are confident about our financial goal for 2026 is essentially the design win in hand, which is very solid and customer committed, and we sold ups and downs with Sequans. We are on it, and they are real. Unfortunately, it took longer than expected for many, many reasons that I explained, but they are happening. And once they turn to production, they will be there for many, many years. And on this basis, if you compute all this, you will see like the company has in hand an average $60 million over 4 years. Obviously, we are not there today. We'll be there and approaching in 2026 and will exceed it beyond 2026. That's what I was saying. And obviously, this helped one input, I would say, for the breakeven point. The other one is the one you are mentioning so far in the last 2 years, I could say almost our design-in pipeline, Seriously, I could not talk about few tens of million dollars with some customers still fighting on to win them. Things have changed extremely well, and I'm extremely pleased by the reception of the customer to the story of Sequans post Qualcomm deal. They understood it. They got it. They saw the competitive landscape, what's happening. And they saw the value of the technology of Sequans and the value of the offer of Sequans as a customer support. This is attracting many customer and almost in a couple of months, we are talking about $200 million pipeline. Many of them, I said, like almost 1/3 of them will be decided soon. So maybe in 6 months, we'll be giving more clarity on what we have there. But indeed, the point you are mentioning, we had a very big win in metering and metering is -- it's not like we're stopping. We keep working on this. We want to win more projects. But there are like time to revenue of those projects could be even 4 years. While many other areas, when you go, for example, to telematics, to security, to industrial, some industrial applications they tend to be 2 years will be okay, the time line. I mean, sometimes it could be 18 months to 2 years. So these are the applications we are seeing, and we are seeing a lot of traction around our Cat 1bis product as you know, this is a kind of unique chip outside of China because no one has invested in, and we have almost no competition other than Qualcomm, who get this technology in hand. And obviously, in the future, will be competing with us with the same product. But at least as we are speaking today, everyone understand that only Sequans has it, and this is our traction attracting a lot of customers. And part of the eRedCap, eRedCap story is really customers want to hear this for the future. So it's not like you need it now. It's not we need this to sell and make revenue. But we need this really to support our customer transitioning for the future, and that's why we're investing in this to be ready in 2026 to bring an evolution from Cat 1bis 1 to eRedCap with those customers.
Scott Searle: That's very helpful. And Georges, if I could follow up on your comments, both on China and Ublox. I'm wondering how many of those conversations are a direct result of the geopolitical environment with China? And as it relates to Ublox, is the opportunity there for you to pick up those design wins going forward from a module perspective? Or are you looking to attack it from a couple of different angles with your existing module partners?
Georges Karam: Yes. I mean, Scott, definitely, it's always hard to say why a customer is coming to you, but the dynamic around China and the dynamic around Ublox. So I call it like the limited number of OEM or let's say, even the sustainable business model of those guys where they are stuck a little bit between the chip price and the EMS and the value that they can offer to this is positioning Sequans really in a unique position. And customer understood that they need to play with Sequans to have a real double sourcing strategy, if I have to call it like this or at least an angle of innovation and flexibility of what we are providing. Yes, definitely, on the deals we are talking, it's not like they are new customers, and we didn't know those guys, but the tension around it and the position of Sequans in the short list and so on, obviously, is influenced by what's happening around or helping us. So I don't want to cry victory before getting them design win, but we feel very good about this, and this is helping us indeed.
Scott Searle: Great. And maybe lastly, if I could, licensing, it sounds like there are discussions cropping up on that front again. And not to get too far ahead of any culmination of new relationships, but RedCap puts you guys in a very unique position going forward versus the competitive landscape. How are licensing deals progressing on that front? How is RedCap doing in general? I think it's very important in terms of the product and differentiation road map for you guys. But it sounds like customers are responding to that. And lastly, Deborah, from a cash flow perspective, it sounds like you guys are tightening up a little bit. Just want to get your thoughts in terms of cash burn until breakeven in '26.
Georges Karam: Okay. Scott, I mean, obviously, this is a very important element for us. And I'm talking even beyond licensing. We'll develop this more as soon as we have more, I would say we'll be in a position to talk about it. But we are attacking -- we did very good deals in the past on vertical and licensing. And we are really learning from our lessons to make it much more sustainable and stable there. So definitely, we are progressing on this front. And we'll have more to say to the market this year about the results hopefully, we'll be able to achieve. That helps, obviously, not only the cash burn but help us -- as I said, we have market that we do know how to address it or segment market, we do know how to address it today other than through partnership. And we have technology that can go to a market, which is not the cellular market, where customers are happy to pay customization of the software around it and buy the product, this is because it's not only licensing by chips and modules at high ASP or higher margin. So this is something definitely we want to develop to create like a second leg for the company that obviously will help our breakeven points, if you want, going forward and the growth of the company down the road. And obviously, the fact that we have a RedCap, you need to keep in mind that all our investment in 5G that we have done in the past, 5G broadband, we didn't throw this away. I mean we have this IP and we own it. And this is really our RedCap but also what the acquisition of ACP helping us to accelerate mainly the RF investment IP, but other IP as well. to bring the RedCap in an efficient way to market, I would say, right on time, but also with minimum effort and R&D spending. So this is really very positive, and I'm very optimistic about bringing good news to market with those elements. And on cash, Deborah?
Deborah Choate: Yes, on the cash. So Scott, we've sized the company and the operating structure so that we feel comfortable that even in a conservative scenario, we have adequate cash to take us to the breakeven point even if that is in the second half of 2026. As I mentioned, we're looking now at an operating cash structure that's less than -- or on average, $10 million per quarter. We also have -- continue to have good financing coming in from the government projects and expect that in 2026 as well. And we're also expecting to collect all of the escrow amount from the Qualcomm deal at the end of September, which is $10 million coming in as well. So I think we feel pretty comfortable about the cash position.
Scott Searle: Great. Look forward to seeing the product revenue continue to ramp.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn it back to our CEO, Georges Karam for closing remarks.
Georges Karam: So thank you again for joining the call all. We remain confident, as I said, in our ability to achieve operating income breakeven by 2026. Our optimism is fueled by key design wins in our pipeline moving to mass production as seen in Q4 and the addition of new customers in 2025. We are focused on increasing our market share in underpenetrated IoT markets with faster time to revenue. We are developing new vertical markets and delivering the best next-generation products. This strategic focus on product differentiation, innovation and market expansion will drive growth in the years ahead. I extend my heartfelt thanks to our team, partners and investors for their unwavering support and dedication. Thank you very much. Operator, we can close the call.
Operator: Presenters, and ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.